Operator: Good morning, ladies and gentlemen. Welcome to the Compañía de Minas Buenaventura Third Quarter 2021 Earnings Call. At this time, all participants will be in a listen-only mode. And please note that this call is being recorded. I would now like to introduce your host for today’s call, Mr. Gabriel Salas, Investor Relations. Mr. Salas, you may begin.
Gabriel Salas: Good morning, everyone, and thank you for joining us today to discuss our third quarter 2021 results. Today’s discussion will be led by Mr. Leandro Garcia, Chief Executive Officer. Also joining our call today and available for your questions are Mr. Daniel Dominguez, Chief Financial Officer; Mr. Juan Carlos Ortiz, Vice President of Operations; Mr. Aldo Massa, Vice President of Business Development and Commercial; Mr. Alejandro Hermoza, Vice President of Sustainability; and Mr. Roque Benavides, our Chairman. This conference call will include forward-looking statements, which are subject to various risk and uncertainties that could cause our actual results to differ materially from these statements. Any such statements should be considered in conjunction with cautionary statements within our earnings release and risk factors discussions. I encourage you to read the full disclosure concerning forward-looking statements within the press release we filed on October 28, 2021. In addition, it is important to note that these statements include expectation and assumptions, which will be shared related to the impact of COVID-19 pandemic. As seen on Slide 2, our forward-looking statements also provides information on risk factors including effects related to COVID-19 that could affect our financial results. In particular, there is continued uncertainty about the duration and contemplated impact of the COVID-19 pandemic. This means Buenaventura results could change at any time and the impact of COVID-19 on the company's business results and outlook is a best estimate based on the information available as of today's date. At this time, let me now turn the call over to Mr. Leandro Garcia, Chief Executive Officer. Leandro, please go ahead.
Leandro Garcia: Thank you, Gabriel. Good morning to all and thank you for attending this conference call. Before we start this presentation, we would like to wish you, your family and friends' health and well-being at this difficult time. We are pleased to present the results from the third quarter of 2021 for Compañía de Minas Buenaventura. We have prepared a PowerPoint presentation, which is available in our web page. Before we go further, please take a moment to review the cautionary statement shown on the Slide 2. Please consider the disclosure related to the COVID-19 pandemic. Moving on to Slide 3. Highlights were as follows. Third quarter 2021 EBITDA from direct operations reached $39.5 million compared to $68.5 million reported in the third quarter of 2020. Nine months - the first nine months 2021 EBITDA from direct operations, reached USD 141.6 million, an increase as compared at USD 88.1 million from the nine months of 2020. Third quarter adjusted EBITDA including associated company reached $183.7 compared to $183.9 million in third quarter of 2020. Nine months 2021 adjusted EBITDA including associates reached $593.3 million, a significant increase as compared to USD 298.5 million for the first nine months of 2020. Third quarter net loss reached $91.9 million compared to $14.9 million net income for the same period in 2020. The first nine months of 2021 net loss was $39.3 million compared to $68.9 million net loss in nine month of 2020. It is important to note that the net loss for the third quarter of '21 and the nine month '21 was impacted by USD 66.4 million Yanacocha impairment corresponding to BVN’s equity ownership position in this asset. Aligned with the company’s strategy to focus primarily on exploration, the third quarter 2021 exploration and operating units increasing USD 17.1 million, compared to USD 7.6 million in third quarter of 2020. The first nine months 2021 exploration at operating units increased to USD 40.9 million, compared to USD 16.1 million in the first nine months of 2020. The third quarter 2021 capital expenditures were USD 24 million, compared to USD 12.9 million for the same period in 2020. Nine months 2021 capital expenditures reached USD 58.5 million, compared to USD 35.2 million in the first nine months of 2020. Cost applicable to sales CAS for the first nine months of 2021 reflects a USD 43.8 million impact due to COVID-19-related expenses. Buenaventura’s cash position reached USD 287.9 million as of September 30, 2021. Mining and ore processing activities were suspended at the Uchucchacua mine in line with Buenaventura’s strategy to reduce costs and become cash neutral while enabling the company to focus on underground exploration and optimize the current reserve exploitation sequence with a gradual operation restart. Moving on to a Slide 4, ESG Corporate strategy, our company has always been committed to help local communities and to have responsible practices with environment. We have measured some indicators, as you can see in this slide. For example, we achieved a 94% water recirculation in our open pit operations and 88% at our, underground operations. We have drawn a special effort to improve our ESG reporting practices following international standards like the World Gold Council, EITI, Dow Jones Sustainability Index and the United Nations Global Compact. Moving on to Slide 5, continuing with the ESG Corporate strategy, for several months, we have been working with our stakeholders, local communities, investors, directors, workers, et cetera. In order to start implementing a better ESG reporting system and after all the effort, we have been able to build a metrics that we are presenting on this slide. Here you can see the most important subjects which are located at the right part of the metrics and belong to the high material area. In this area, we have determined that the health and safety the responsible use of water, value generation for stakeholders are the three most important topics to work on and therefore including our report. Moving on to Slide 6, financial highlights, total revenues during the third quarter were $220.4 million, which is 3% lower in comparison to the third quarter of 2020. This is the first nine months of the year, total revenues increased to $647 million compared to the nine month period of 2020, where total revenues were $440.5 million. EBITDA from our direct operations in the third quarter of 2021 was $40 million in comparison to $69 million in the third quarter. EBITDA from direct operations for the nine months 2021 increased to $142 million in comparison to $88 million during the first nine months of 2020. EBITDA including our affiliates in this quarter was $184 million which is in line with EBITDA generated in the third quarter of 2020. EBITDA including our affiliates for the first nine months of the year was $593 million compared to $299 million for the same period in 2020. The CapEx increased $24 million in the third quarter of 2021 compared to $13 million in 2020. In the first nine months of the year, CapEx totaled $59 million, a 66% increase in comparison to the first nine months of 2020. As you can appreciate on the graph shown on this slide, we are returning to pre-pandemic levels and even achieving greater results than the first nine months of 2019. Moving on to Slide 7, which Uchucchacua start the COVID-19 pandemic adversely impacted mine preparation and exploration at Uchucchacua. As a consequence, we are working with lower ore range and lower silver. As extension enables us to achieve the most significant cash preservation while derisking future negative free cash flow generation through the following, workforce optimization in order to reduce fixed costs from, $2 million to $5 million per year, decreased COVID-19 related expenses from 12 months to 15 months in 2022. Re-evaluation of existing contracts to renegotiate, reconcile and streamline the company's contractor base from $7 million to $9 million per year. This strategy will be implemented during the period 2021, 2022, which are gradual and efficient with established operations once related objectives have been achieved, prioritization exploration over ore extraction will increase reserve in the long-term. Importantly, these suspensions will not affect the progress related our high grade zinc project expected to begin production in early 2024. Moving on to Slide 8 and 9 attributable production, total gold attributable production in the third quarter of 2021 was 80,000 ounces which is 2% lower than the field reported on the same quarter of the previous year. In the first nine months of 2021, total gold attributable production was 217,000 ounces, 7% lower than the same period in 2020. Basically it was mainly explained by lower production in Yanacocha. Silver attributable production for this quarter was 3.6 million ounces, which rose an increase of 20% compared to the field reported on the third quarter of 2020. During the first nine months of 2021, silver attributable production was 11 million ounce 20% higher than the first nine months of 2020. In the third quarter of 2021, 11,000 metric tons of zinc were produced, a significant decrease compared to the third quarter of 2020. In the first nine months of the year, zinc production decreased to 32,000 metric tons, 2% lower than the same period in 2020. In the case of lead, equity production was 6,000 metric tons in the third quarter of 2021, which is 23% lower in comparison to the third quarter of 2020. In the first nine months of 2021, our production increased to approximately 60,000 metric tons in comparison to the 18,000 metric tons in 2020. Finally, our copper attributable production for the third quarter of this year was 26,000 metric tons. During the first nine months of 2021, copper attributable production was 75,000 metric tons, a 12% increase compared to the same period of 2020. Moving on to Slide 10, all-in sustaining cost and costs applicable to sales, the all-in sustaining cost from our direct operations in the first nine months of 2021 increased by 16% to USD 1,488 per ounce of gold. The costs applicable to sales for the first nine months of 2021 were as follows: for gold, USD 1,224 per ounce, which is 18% higher than a year ago. For silver USD 19.5 4 per ounce which is 15% higher than a year ago. For lead, USD 1,463 per metric ton, which is 30% higher than a year ago. For copper USD 6295 per metric ton, which is 25% higher in comparison to a year ago. Finally, in the case of seeing the cost applicable to sales was USD 2127 per metric ton, which is 19% higher than a year ago. As we mentioned before, cost applicable to sales has been impacted by approximately $44 million of expenses related to COVID-19. Moving on to Slide 11, pipeline of projects and update. Here, we are presenting you know in one snapshot the current development level for each one of our projects. Moving on to a Slide 12, San Gabriel. We finished geometallurgy testing and confirm the study gold recovery 85.33%. The EIAs validity extension will be achieved by starting water dam preliminary works next year. We reached an agreement with Corire community to finalize Consulta Previa community which is still in process. Early construction work are expected to start after both communities ratify agreement with MINEM, the Minister of Energy of Mines. Moving on to Slide 13, Trapiche. We started on site metallurgical column testing and we finished chloride leaching trade-off study, evaluation on primary ore is the next step. We agreed with SENACE to hold the second EIAs workshop by late November, followed by EIA submission early 2022. The project access road agreement draft was released to Antabamba and Molloco communities for approval. Moving on to slide 14, Tantahuatay’s Sulfides. Coimolache´s Board approved viability stage as informed in the previous conference call. The infill drilling started and is currently at 24% in . Thank you for your attention, I will hand the call back to the operator to open the line for questions. Operator, please go ahead.
Operator:  And our first question today comes from Tanya Jakusconek from Scotiabank. Please go ahead with your question.
Tanya Jakusconek: Great. Good morning and happy Friday, everyone. Thank you for taking my questions. I have two that I'd like to ask them, two different assets. Can I start on Uchucchacua? I just want to try and understand as you go through this whole evaluation on this asset, is it fair to assume that this asset will be down from the rest of 2021 and all through 2022?
Leandro Garcia: Hi Tanya, thank you for your question. And - well, as you know, we have been struggling with - we have a lot of problems in Uchucchacua. As we have informed in the last four conference calls we have been doing our best efforts to not to stop production, but finally we have decided this  production in order to make more efficiently fine to go further with all the works we have in geology installations and the mines operation. And - actually, we will expect to have to wrap this mine a stock by at least one year and that we will be evaluating this resume of operations during the 2022. But any additional comment maybe Juan Carlos, can give us some more color about this.
Juan Carlos: Thank you, Tanya for your question. Yes, we will plan to continue with exploration, work is on the run developing panel lists and diamond railing along 2022. Based on the results we will review our decision on where do we start the operation if does in 2023. If we don't have the conditions at the time we will prefer to continue, exploration would probably extend that strategy along 2023.
Tanya Jakusconek: Okay. And Juan you've stopped the mine, should I be thinking that this care and maintenance now is going to have a cost for us to have? And if so, what is the cost of care and maintenance you know, either per quarter or per year whatever is easier for you?
Juan Carlos: It's a combination of two things, one is going to be a really determined maintenance per say. It's about six goals in a row of $1.5 million per month, payroll plus all the ancillary services pumping water treatment. And on top of that we will have mine tunneling for installation to get new access to different areas for diamond railing and that amount still under review with our people we are working on our annual budget along November.
Tanya Jakusconek: Okay. So I guess you will give us some sort of guidance next year, but at least 1.5 per month of holding costs as long as this is down. Okay.
Juan Carlos: That’s correct.
Tanya Jakusconek: And then - and just on the - you mentioned narrower veins that you're seeing and you're putting the effort into to do this exploration. As you go into narrower veins usually you have to kind of change your mining method because you're going to have to be more selective mining which is more expensive. So I'm just wondering how - you mentioned that you don't really see much impact to your reserves and resources with this being down. But just because these mines - the veins are narrower, I just I'm trying to understand how it could not have an impact?
Juan Carlos: Yes, the things that right now we have - we don't have isolated veins. Usually they came like in a package several days altogether. We need to fill all the gaps in between in order to have an idea of how many days do we really have altogether closer to each other, and optimize the design of the mining facilities to mine that area. Right now, we are mining certain veins and sometimes we duplicate the infrastructure like an additional ramp or an additional ventilation infrastructure for vein and it's only 90, 80 meters narrower to the south. So we need to have time to explore the older veins, get all the information together in addition to the existing veins that we already reported in our reserve. And once we have all that information we locate around and all different structure to serve more tonnage than we are doing right now. That's the reason we need time for exploration to include all those veins that we have no other potential resources in order to have an optimized design. That’s reason we need some time for continuous production near the existing reserve blocks. In doing so we expect to dilute the effected results and get back into production with pretty much the same operating goals for improved operating cost from Compañía de Minas.
Tanya Jakusconek: Okay. But from what I'm hearing, it appears to me, maybe I'm wrong, that maybe you haven't done enough detailed tighter space drilling to really understand. And maybe someone can tell me what your drill spacing has been on your mine planning. But it appears if you're not able to connect all of these veins together, you kind of have to do more tighter space drilling, is that a correct assumption?
Leandro Garcia: Well no, in the blocks that we already have reserve in some areas of course, we need to go from maybe 22 meter I think it was to 15 meters of spacing that is according to the new guidelines and updated GI statistics. We need probably to make shorter distance drill hole for part of the existing reserve so that will be part of the migration to the S-K 1300 standard. But what I mentioned was the structures or veins that are parallel to the existing ones, 20 meters, 60 meters, 80 meters to the north of the south of the existing ones. So, we will add those potential resources now into our mining plan. That's what the strategy we will focus on in the - Uchucchacua reserve for us. In addition to that of course explore potential areas, where in the past we had the ore bodies, with a larger thickness and a higher grade. So we have decide basis on the model that we are understanding better in June, but we're bringing that experience for exploration into Uchucchacua mine. We identified several targets a pretty much in the anticlinal of Uchucchacua. So it will be too satisfactory. Working for or looking for more restructure, more veins near or our existing reserve plus opening new areas of operation near the mine, 600 meter, 500 meter from the existing facilities. In that anticlinal sector with particular a ore rises in limestone that pretty much follow the same model in which we're very successful right now exploring in Uchucchacua . So we're bringing that controls that mythological control into Uchucchacua in the anticlinal sectors to look for ore bodies at high grade veins that we had in the past. We already had in the past. So we're connecting they are not in that kind of near mine area somewhere.
Tanya Jakusconek: Okay. So as I understand it, there is some tighter space drilling to be done within your reserve blocks, plus step out to try and target some of these veins close by to bring them in and?
Leandro Garcia: That’s right. Yeah.
Tanya Jakusconek: And then last question if I can just on San Gabriel. You mentioned the validity of the EIA expansion to be achieved. So are you saying that you're going to be getting this EIA by putting in this water dam next year or what is it that you still need to do to just get this EIA approved?
Leandro Garcia: Thank you, Tanya. That’s also is Renzo Macher our Project Manager and he will explain a little bit more about our process technology. Please Renzo.
Renzo Macher: Sure, thank you. Well, the EIA is already approved, but these instruments have a shelf life of five years. So because of the COVID we haven't been able to start construction and it is getting to the end of that shelf life. So in order to extend that shelf life, we need to start something and we have all the working permits to start the water dam. So if we start the early process of the water dam, we're going to be initiating the execution and therefore the environmental impact assessment shelf life is going to continue. That’s the strategy.
Tanya Jakusconek: Okay. And then when you've done this water dam, like what else you're doing consultation with the communities I see to finalize, the - that process, once we've done that, are you then ready to make a decision for construction?
Renzo Macher: Yes, so the construction permit has already been submitted a year and something to go. And there's no more technical questions about it. We're ready to start. The only thing that is missing is this finish this conservative area with the community that has been impacted by the COVID activities. Now, we have had some advances in the last quarter, one of those being that we have been able to have public assemblies with the community and that was one of the main obstacles to reach agreements with them. Second, the community directors have been finally assigned. They have all the paperwork ready to make, decisions that's another big step. And third, the government have been helping us sending the right letters to the community. However, they have changed. So, the new officers in the ministry are new and we are working with them to kind of know each other again. But we are still expecting to start construction, full construction by the end of the rainy season that is March 2022. That's our best - we’re holding with that in mind.
Tanya Jakusconek: Okay great. Thank you so much for the clarity.
Operator:  Our next question comes from  from Morgan Stanley. Please go ahead with your question.
Unidentified Analyst: Hello and thank you for taking the questions. I just want to ask how much do you expect to get from dividends from federal reserve  next year? And also for us to model this and going in further years, what payout ratio are you expecting to have in upcoming years? And if I can do a follow-up question I just wanted to ask if you have any sense of how much the government might increase the mining taxes because obviously they haven't given any details about the specific rate. But I was just wondering if you have got any sense of that? Thank you.
Leandro Garcia: Hi, Jenson thank you for your question. And to speak on the first question about the Cerro Verde event you have seen the results of this third quarter of Cerro Verde and the operation is going very well and of course we will expect an additional dividend for this last part of the year. We have not talk - speak with the report, but I'm sure that all the shareholders will expect an additional divided before the end of 2021. The payout rate, we’ll have to talk with them I think the future years of Cerro Verde, we do not have any investment big investment plans for the following year. So, the CapEx is limited for following years also it’s around margin around $300 million, $400 million. But all the cash with these prices that generate Cerro Verde, of course, will finish in some part of - in dividends for shareholders. And regarding your second question about tax and we are not sure - how will be the final number increasing the tax for mining. We have received some message from the minister a public declarations that will increase for the higher profit margins with the companies that earn profit greater and then in the higher level of the profit margins for companies that are located. But however, he has been very clear building the operation on the - in all the declarations that he will be vigilant and he will - somehow being how to say I think he will preserve the competitiveness of the mining industry. That is the message that we have received from them. So we expect some additional tax or royalties usually increase, but in the higher level of profit margins. So hope we will see it in the following weeks how is the final number.
Unidentified Analyst: Okay thank you, Leandro.
Operator: And ladies and gentlemen, at this time, we would like to conclude today's conference call. And I would like to turn the floor back over to Mr. García for any closing remarks.
Leandro Garcia: Well, thank you for attending this conference call and have a great day and be safe. Thank you very much.
Operator: Ladies and gentlemen, that does conclude today's conference. We do thank you for attending. You may now disconnect your lines.